Operator: Good morning, and welcome to FB Financial Corporation's Third Quarter 2025 Earnings Conference Call. Hosting the call today from FB Financial are Chris Holmes, President and Chief Executive Officer, and Michael Mettee, Chief Operating Officer and Chief Financial Officer. Please note FB Financial's earnings release, supplemental financial information, and this morning's presentation are available on the Investor Relations page of the company's website at www.firstbankonline.com and on the Securities and Exchange Commission's website at www.sec.gov. Today's call is being recorded and will be available for replay on FB Financial's website approximately an hour after the conclusion of the call. At this time, all participants have been placed in a listen-only mode. The call will be open for questions after the presentation. During the presentation, FB Financial may make comments which constitute forward-looking statements under the federal securities laws. Forward-looking statements are based on management's current expectations and assumptions and are subject to risks, uncertainties, and other factors that may cause actual results and performance or achievements of FB Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond FB Financial's ability to control or predict, and listeners are cautioned not to put undue reliance on such forward-looking statements. A more detailed description of these and other risks that may cause actual results to materially differ from expectations is contained in FB Financial's periodic and current reports filed with the SEC, including FB Financial's most recent Form 10-Ks. Except as required by law, FB Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation, whether as a result of new information, future events, or otherwise. In addition, these remarks may contain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures to comparable GAAP measures is available in FB Financial's earnings release, supplemental financial information, and this morning's presentation, which are available on the Investor Relations page of the company's website at www.firstbankonline.com and on the SEC's website at www.sec.gov. I would now like to turn the presentation over to Mr. Chris Holmes, FB Financial's President and CEO.
Christopher T. Holmes: Thank you, Drew, and thanks to everybody for joining us this morning. And as always, thanks for your interest in FB Financial. For the quarter, we reported EPS of $0.43 and adjusted EPS of $1.07. We've grown our tangible book value per share excluding the impact of AOCI at a compounded annual growth rate of 11.8% since our IPO. This quarter, we completed the merger with Southern States Bankshares, and as a result, you'll see that impact throughout our financial results. This is our first quarter reporting on the combined entity. We'll walk through our results, which include the full impact of the transaction but also highlight our core operating results, where we think that's helpful for you. Our pretax pre-provision net revenue or PPNR for the quarter was $64 million or $81 million on an adjusted basis. Earnings were led by a net interest margin of 3.95% and an efficiency ratio of 63.2% or 53.3% on an adjusted basis. Adjusted returns were improved, reporting a return on average assets of 0.58% or 1.43% on an adjusted basis and a return on tangible common equity of 5.82% or 14.7% on an adjusted basis. As noted, we did complete our merger with Southern States, officially closing the transaction on July 1, and we completed the systems conversion over Labor Day weekend. When we opened our doors for business after conversion on September 2, we were fully transitioned to operating as a single team and serving our customers under one brand. We accomplished our internal targets of closing and converting the transaction, which was announced on March 31, by Labor Day, which was a proud moment for our team members. I'm proud of our team for their execution and moving us from announcement to legal close in about ninety days, and then completing the full systems conversion sixty days later. I want to recognize and congratulate this team for your commitment to the company and to each other and once again proving how truly outstanding you are at what you do. Our strategic and operational execution on this merger reinforces that our team is top tier, our processes are scalable, our client-first model works, and our team loves to compete and is hungry for more. Moving to the outlook for our markets, we remain bullish on our markets in Tennessee, Alabama, Georgia, Northern Kentucky, and North Carolina. We also feel very proud about our competitive position in those markets. We feel very good about those. Our industry is set to see additional consolidation, creating inevitable disruption in client and employee relationships. We've designed our business model and operating processes in a way that we can both grow and scale while continuing to provide a community banking style in our approach to serving our clients. We believe that our preparation and forward-thinking have us prepared to take advantage of the anticipated disruption in and around our markets and will be a key accelerator for our organic growth. As I look forward into 2025 and further into 2026, I'd like to share a few thoughts on key areas of focus for our team. The first of those is growth. As I touched on, we're bullish on our team's opportunity and ability to win talent and business across all of our markets. On the market expansion front, we're pursuing opportunities that will add value for our company. As with Southern States, we look for contiguous geography, talented teams, compatible culture, and strong financial performance. As we've shown improvement already this quarter, strategic finance, compelling and well-executed transactions have a compounding effect for our shareholders. With additional size, we're able to capitalize on scale and drive higher returns. Second is our earnings profile. Our results this quarter signal we're not willing to accept a return profile that doesn't advantage our shareholders relative to other comparable investment opportunities. I'm going to let Michael expand on our earnings outlook, but all in all, I'm pleased with where we ended the quarter and how we've set ourselves up heading into 2026. And finally, the strength of our balance sheet continues to be a bright spot for our institution. We continue to be in a solid position on capital, liquidity, and credit. When you merge two companies with strong balance sheets and good earnings, and you execute, you end up with a company with a stronger balance sheet and better earnings. This position allows us to capitalize on the opportunities that I referenced earlier around growth, market disruption, and acquisition opportunities that are likely to present themselves in the coming quarters. We will continue to play offense and pursue capital deployment opportunities that make good financial sense and are good long-term opportunities for the company. With that, I will turn the call over to Michael Mettee, our Chief Operating and Financial Officer, to provide a deeper look at our financial results for the quarter as well as some forward-looking commentary into 2026. Thanks, Michael.
Michael M. Mettee: Thank you, Chris, and good morning, everyone. As Chris mentioned, our teams have been busy blocking and tackling on things that come with a merger close and conversion cycle while also managing our core businesses at First Bank. As I walk through our financial results for this quarter, the figures I will reference are on a combined First Bank and Southern States basis, unless specified otherwise. With the transaction closing on July 1, we did not have to account for any partial quarters, which made for a clean break from First Bank-only results in the second quarter to a combined basis for the full third quarter. Net income on a reported basis for the quarter was $23.4 million or $57.6 million on an adjusted basis. On net interest income and margin, we reported net interest income of $147.2 million, which represents a 32.2% increase from the prior quarter and a 38.9% increase from the same quarter last year. On a tax-equivalent basis, we saw margin expansion of 27 basis points in the quarter, from 3.68% to 3.95%. We benefited from the addition of Southern States portfolios, which carried an incrementally higher margin than legacy First Bank. We also benefited from net accretion of purchase accounting marks. Net accretion on the acquired portfolio was approximately $6 million for the quarter. We also benefited from the structural balance sheet maneuvers during the quarter. We saw the first full quarter margin lift from the securities transaction that we executed last quarter, and we followed through on paying down $100 million in legacy First Bank subordinated debt and called $30 million in trust preferred securities. The debt paydown gave us one month of benefit in the quarter, so we'll continue to see impact from that piece of the transaction in the fourth quarter. Non-interest income was up compared to last quarter when we had the $60 million securities loss, and on an adjusted basis, non-interest income came in at $27.3 million compared to $25.8 million in the prior quarter. We saw incremental increases in First Bank legacy First Bank businesses such as mortgage banking and investment services, while we saw benefit across other fee categories like service charges and interchange fees, largely from the addition of Southern States. Looking at expenses, we reported total non-interest expense of $109.9 million or $93.5 million on an adjusted basis. Our reported number includes $16.1 million of merger and integration costs, which peaked this quarter with transaction close and conversion. These costs are largely made up of employee-related payments and vendor payments, as you would expect. Going forward, we will have some additional transaction costs at the end of the year as we complete the merger process. The increase in adjusted non-interest expense is largely a product of the first full quarter of combined First Bank and Southern States operations. To date, we are on pace to achieve 50% of our deal synergies in 2025, and we expect to achieve 100% in 2026. This timing for recognizing cost saves was earlier than originally modeled due to a timely deal close and conversion coupled with the intentional focus from our management team. All in, our adjusted core efficiency ratio improved to 53.3% from last quarter's 56.9%, the same quarter last year where we reported 58.4%. Moving on to credit, our reported provision expense of $34.4 million includes $28.4 million in day one provision expense for the acquired non-purchase credit deteriorated loan portfolio and unfunded commitments, making our provision expense excluding merger-related impacts $6.1 million. We saw minimal charge-off activity this quarter with a net charge-off ratio of five basis points annualized. So our reserve impact in the quarter absent the acquisition was largely a product of loan growth and updated forecast assumptions. Loan growth came across our key categories that I'll touch on in a minute, while the forecast side was particularly impacted by a decrease in the home price index forecast, which drove incremental additional reserve in loan segments that are more sensitive to the metric. Our non-performing assets to total assets ratio ticked down three basis points to 0.89%, and we continue to hold a stable outlook on credit across the industry and slightly more positive for the markets that we serve. All in, our allowance for loan losses settled at $185 million or 1.5% of our loans held for investment compared to $149 million or 1.51% last quarter. On a dollar basis, we booked $7.5 million to establish PCD reserves through purchase accounting, and then we put another $25.1 million in non-PCD reserves. In our reserve for unfunded commitments, we established a day one reserve for the acquired Southern States commitment of $3.2 million. Both the non-PCD and unfunded commitment reserves were established through Q3 provision expense, as I noted earlier, those are excluded from our adjusted earnings figures. Looking at the balance sheet, broadly speaking, you'll see balances up across the board with the addition of Southern States during the quarter. Parsing through the noise, we saw organic quarter-over-quarter loan growth of $156 million or about 5% annualized. Included increases of $70 million in residential real estate, both single and multi-family, $50 million in owner-occupied commercial real estate, and approximately $24 million in consumer and other. Those were offset by declines in construction loans. On the liability side of the balance sheet, the story is mixed, but for good reason. We executed on several strategic deposit priorities, which included one, reducing our exposure to high-cost non-relationship deposits, and two, a targeted deposit campaign across our footprint to attract new relationships to the bank. Exclusive of the acquired Southern States deposits, deposit balances were down approximately $59 million on a period-end basis as we executed on this remixing strategy. Priority one resulted in deposit outflows of approximately $13.292 billion as we rolled off brokered balances, lowered pricing of non-relationship deposits, and reduced exposure to a large public funds deposit. On priority two, we executed our deposit gathering strategy across our retail network through promotional offers and internal incentives to attract new customers and forge new relationships. These efforts resulted in approximately $320 million in net new deposit balances, and we expect to see more growth here throughout the year. As I noted previously, we also took the opportunity to pay down our subordinated debt and trust preferreds. We also repurchased approximately $24 million of FBK shares during the quarter. We'll continue to keep our team busy on balance sheet and capital strategy to ensure we're fully optimizing our balance sheet structure. I'll now take a minute with thoughts on where we expect to end 2025 and end 2026. Our net interest margin, we expect to see the continued impact from accretion on acquired loans and also the compounding effects of the balance sheet restructuring we've executed over the past few quarters. Including the securities trade and the sub-debt paydown, last quarter we guided to 3.7% to 3.8%. Without accretion and for the back half of the year, we now expect to land between 3.80% to 3.90%, and we expect to continue that into 2026, which includes two assumed rate cuts before year-end. On expenses, we will continue to think that full-year banking expenses will land around $290 million to $300 million, which is in line with our previously guided range. And looking into next year, with earlier than originally modeled cost saves realized from the Southern States deal, coupled with marginal expense increases to support growth, we're expecting full-year 2026 banking expense to land between $325 million and $335 million, which puts our efficiency ratio in the low 50s for the full year and at about 50% by year-end 2026. Our banking expense guidance run rate is not inclusive of any large investments made in revenue producers or market expansion, and we are likely to get these opportunities in 2026. From a balance sheet perspective, in Q4 2025, we're guiding to mid to high single digits on both loans and deposits. And for 2026, we would expect to return to our normal organic growth rate, which is the high single-digit, low double-digit range. In summary, our team is proud of our work over the past quarter and pleased with this quarter's results. We will continue to be strategic in our growth planning and execution and look forward to continuing to share updates on our progress with you. With that, I will pass the call back to Chris.
Christopher T. Holmes: Thanks for the color, Michael. And as you heard, the quarter had a lot of moving pieces, but those pieces come together to make a nice picture of a valuable enterprise for our customers, associates, and shareholders. Thank you again to our team. Thank you to all listening to our update this quarter and for your interest in FB Financial. Operator? At this time, we'd like to turn it back over to you to open the line for questions.
Operator: Thank you. We will now begin the question and answer session. Before pressing the keys for a question, the first question comes from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks. Good morning, everyone. Good morning, Chris. The higher margin this quarter and then the higher guide was really great to see. And so the question is just as we think about the margin moving forward with one rate cut and we presume we'll get another one or two in the back half of this year. Any updated thoughts on what the impact of SSBK has been on your margin and just as you and where kind of the balance is between your floating rate book and then what you think you can do on the deposit piece? And then within that question, maybe I'm curious what the average rate was on that $320 million of new deposit balances that came on from your retail campaign? Thanks so much.
Michael M. Mettee: Hey, Catherine. Good morning. This is Michael. So margin, as you would expect, is a little bit of a convoluted bag as we kind of look at the combined balance sheet. The runoff of some of the public funds and pricing down some of the higher-cost deposits, paying off brokered, and then adding back new deposits. So a lot going on there. We're a little bit we're at 3.95% this quarter. That included the purchase accounting accretion. As Southern States' balance sheet certainly added to margin on a core basis. I'd say it's probably worth six to eight basis points on core, which puts us in that kind of mid-three-eighty range as we kind of look going forward. You mentioned the rate cuts. We're thinking that we're going to get rate cuts sooner, maybe October, and then one late in the quarter. And so that will have minimal impact on margin. We continue to have kind of a mixed 55-45 fixed to floating balance sheet. And so you obviously feel that in the loan portfolio. So where did deposits come on? We had a kind of a mixed it's a special promo deposit campaign that included core deposits, operating accounts, with money market accounts, which are tied to Fed funds. So we would see those reprice kind of January. They were in the low 4s. And so a lot of moving pieces on where margin is and where we expect it to go. Loan yields continue to come in the low sevens, so that's a positive. But as we expect deposit growth, we do understand that it's really competitive in our markets and seeing how competitors and our own team are able to react to Fed rate cuts will be key in kind of maintaining that margin. But we think we can stay in that range, the guided range.
Catherine Mealor: Great. And my question is just on growth. I was glad to hear that you still think you can get back to that high single-digit, low double-digit range for next year. Can you just talk about pipelines and kind of what you're seeing to give yourself confidence for that into next year?
Michael M. Mettee: Yes. Our loan pipeline is actually as good as it has been probably in the two years or so. So very confident on that. Obviously, with the conversion in the third quarter, we kind of stunted some of the legacy Southern States loan growth as everybody's working through systems conversion, training, and everything like that. So we're back on track from that regard. That gives us confidence. Customers seem to be kind of turned the page from all the tariff stuff, although there was some noise this week, obviously. But that seems to move on from our client perspective. And the real governor on loan growth is deposit growth. Really core deposit growth. So we'll continue to work on core deposit growth, operating accounts, and acquiring new relationships. But the pipeline on specifically on the credit side is pretty full and as full as we've seen in a while.
Catherine Mealor: Great. Thank you.
Operator: The next question comes from Brett Rabatin with Hovde Group. Please go ahead.
Brett Rabatin: Good morning, guys. Hey, Chris. Wanted to start on you mentioned in the press release the aggressive goals of profitability and growth, and it sounds like you're talking more mid to high single-digit range for growth from here versus that kind of double-digit growth that you've been talking about. Anything that's changed relative to you wanting to get back to double-digit growth, economy, competition, demand, any thoughts on double-digit versus single-digit?
Christopher T. Holmes: Yeah. I'd say housing would the difference between the high single-digit and low double-digit can be 1%. And so that's that we as we're presenting, we're trying to present a reasonable range. We always strive internally to be on the higher side of ranges, but sometimes we don't hit that. And so we as we went into this year, we said mid to high, we've been more mid, and so that's been a little bit disappointing to us. We've been consistently evaluating that and tweaking to try to make sure that we are on the higher end of our expectations. But right now, we're running more mid part of our mid-range of our expectations. And so there that's how we're thinking of that. We also as we heat up into 2026, and I made reference to disruption, we're really thinking about what we'll get with our RMs out driving business and Michael made the point of deposit growth can be the governor. We are, as you know, we try to strike a really nice balance between growth and profitability. We try to hit both. We try to be the best at both. But we do try to get both. And we don't sacrifice one for the other. So when we balance all that, that's how it comes out. So as you know, we're in good markets. The economy is good. I would say we'll grow as well or better than others that do what we do.
Brett Rabatin: Okay. That's helpful, Chris. And then the other question I wanted to ask was on Slide sixteen, the EPS accretion for 2026 better than expected related to Southern States. Is that a function just of the cost savings being accomplished earlier than expected? Or is there also better organic growth or synergies that are coming from that transaction with revenue?
Michael M. Mettee: Yes, Brett. Good morning. It's Michael. Yes, it's earlier than expected cost savings, but also I was kind of noting on margin, we've had better than expected margin from the combination. And so we've had margin expansion, so that's added to that as well.
Brett Rabatin: Okay. Great. Thanks for all the color, guys.
Operator: The next question comes from Russell Gunther with Stephens. Please go ahead.
Russell Gunther: Hey, good morning, guys. I wanted to get a sense for how you would frame up the organic versus the acquisitive growth opportunity set in front of you. Would you expect to lean into one more than the other over the next twelve months?
Christopher T. Holmes: Yes. Good morning, Russell. We just don't know for Brett. So good morning, Russell. And we are I know if we lean into one more than the other. I guess as I think about moving forward, let me back up and say, we're normally wired to lean into our organic growth more than inorganic growth. Okay? We think we should grow organically every day in all of our markets. And so and some of our markets are slower growth, and so we will accept a lower growth rate than our higher growth, higher GDP growth markets. But we expect them all to grow. And so that's really the foundation of the company. So I'd say we naturally are always going to lean in higher or on organic growth. That being said, we also think we're in a period from an industry standpoint or an industry where the industry is in terms of maybe some pent-up demand, a more favorable regulatory environment that does favor expansion and acquisition activity, especially in an industry that needs some consolidation. So we don't want to ignore that. And so we're going we are leaning into that heavier than we ordinarily would as we think about how we move forward because we think it's a time of opportunity. We are, I think, recognized and proven as skilled and good acquirer. And there are good opportunities. And so we're going to again, we're going to try to execute on both. I think we've shown we can do that. I would say that one place that maybe has changed our outlook some or our positioning going forward some is that we used to look heavily at how we could get more market share in our markets through acquisition. And we'll probably look more heavily today at how we expand our footprint via acquisition versus more in-market consolidation. Because we do think going back to your question, the organic opportunity is going to be really good in footprint. When you do acquisitions that are in footprint, it does create a little more disruption on the teams. And so we think part of what has us excited about both sides, both organic and inorganic, is that we can grow organically within the geography that exists but also expand the geography without too much disruption within the geography where we're expecting big organic opportunity.
Russell Gunther: I appreciate it, Chris. Thank you. And then switching gears a little bit, but you had a pretty notable higher intra-quarter, to kind of run Nashville for you guys. You talked about in your expense commentary, potential to kind of punch outside of that should you know, the hiring opportunity, be more robust than you think it might. So could you share with us sort of what the total revenue producer hires were in 3Q and sort of what your expectations are going forward?
Christopher T. Holmes: Yes. So to well, both both coming on that. I'm glad you actually picked up on that comment that Michael made in his when he was talking about where our expectations were. And he said, you know, our banking by banking expense guide is run rates not inclusive of large investments on revenue producers or market expansion. We don't know what those opportunities exactly are going to look like. When you have market disruption, it disrupts everything. And we anticipate has been some of that already. Look, we've created some of that down in some markets in Alabama and Georgia. And so we anticipate there's going to be more. And we're trying to make sure that we play our hands well there as we do that. And so but you're exactly right. It doesn't include investments in those that could be substantial. We could have markets across our geography where those could be substantial investments. We're going to be willing to make those because we think they would be if we make them, they're going to be long-term well-placed investments. And so I just want to make sure we're clear on that. That run rate doesn't include those, but if we get the opportunity, we will be looking to do those just as everybody else will. I want you to think we're the exclusive beneficiary of that, but it's a dog-eat-dog world out there, and we're going to try to be the big dog.
Michael M. Mettee: Yeah. And Russell, good morning. Third quarter, we added about five revenue producers, so not a huge number. Yeah, these things take time. Quite everything to college football, you got to recruit takes years to recruit. And so you got to set the foundation. That's both clients and relationship managers. So, you got to earn their business, you got to earn the right for people to come work at your company. And so we've been doing that for a long time and we'll continue to do it and we expect as Chris mentioned, some opportunity to arise as the industry undergoes kind of a transformation here.
Russell Gunther: Okay. Excellent guys. And then just a quick point of clarification on the margin guide, Michael, the 3.8% to 3.9% in 4Q and '26 to confirm that that would include your expectations for purchase accounting accretion. And then what you guys are contemplating for through the cycle deposit beta just given some of the comments around deposit pricing competition?
Michael M. Mettee: Yeah. Russell, that's point. It does include accretion. And we do think, right, in our markets, continuous margin expansion with rate cuts going to be challenging to continue to grow deposits and organic deposits. So that's why it's a slightly lower number. We'd always aim to outperform but as Chris mentioned, we've got to balance profitability and growth. And so that's why you get to that $380 million to $390 million numbers. We expect deposit pressure in our markets.
Russell Gunther: Thank you guys. I appreciate all the help this morning.
Operator: The next question comes from Dave Rochester with Cantor Fitzgerald. Please go ahead.
Dave Rochester: Hey, good morning, guys. Nice quarter.
Christopher T. Holmes: Welcome, Dave.
Dave Rochester: I wanted to circle back just on your comments on the growth, not to beat a dead horse, but with all the deal disruption in your markets right now, especially from one very large MOE that could be a gift that keeps on giving to you guys for the next several years. It just seems like a really big opportunity for you guys to pull in talent and business customers. Just wanted to get your take on that the single-digit one more time. It seems like that could add a few 100 basis points at least to growth. Even on the deposit side. Wanted to revisit that a little bit.
Christopher T. Holmes: Yes, Dave. We don't disagree. We don't disagree. We do have some upside opportunity there. From disruption and you made reference to large transaction in our market. I do want to say this, nobody is asleep in our market, including the folks that are in core and large disruptions, okay. So nobody is sleeping through it. And also, by the way, including those in and around our market that are entering our market as a result. And so there's a lot going on there. You're right. It's an opportunity for all of us including those being disrupted. To execute. And so again, we're optimistic on our ability to execute. We have shown that over time and we continue to think that we'll be in we're in position to perform well. But your observations are accurate. The opportunities are going to be plentiful. And when we think about disruption, I think the important from our perspective is that it's not only today disruption is going to be around for the next couple of years. We don't think that's the last transaction that has a consequence in our markets that you're going to hear about over the next maybe even between now and the end of the year. I mean, we think you're going to continue to hear about disruption see disruption. And so we think that we're trying to position to be a stable long-term place for customers and for associates to land. And so that's again, I think your point is well made.
Dave Rochester: Appreciate that. Maybe just one last one. Are there any areas, products, services, whatever that you don't have right now that you think you could potentially pick up in terms of pulling in larger team or group of teams as a part of some of that disruption that you're looking at potentially? Thanks.
Christopher T. Holmes: Yes. I don't want to disclose anything there that would be strategic for us. But I will say this, and we've said this before, management is a part of our business. We have placed more emphasis on and we intend to we intend to make some headway and improvements there. And so that's something that's on our radar screen to just make sure really that our customer experience and our offering there, in terms of everything that we have to offer, competes with anybody and everybody. And so that'd be the one area I would comment on that we have some focus. By the way, that did not result from any specific transaction that was already an initiative for us even before the year started.
Dave Rochester: Great. Thanks, guys.
Operator: The next question comes from Stephen Scouten with Piper Sandler. Please go ahead.
Stephen Scouten: Hey, good morning, guys. Wanted to follow back around real quickly on NIM and just make sure. I know, Michael, you said that the NIM was better, the deal was a little bit better on the combined NIM with SSBK. How much of that was from like more elevated accretion or maybe said differently like relative to the whatever it was $6.2 million or what have you what would you expect for kind of I don't know, straight line run rate accretion to be ex any sort of accelerated accretion?
Michael M. Mettee: Yes, good morning, Steven. Yes, run rates low north of kind of call it $4 million to $4.5 million. Accelerated accretion for the quarter is about $1.5 million. So, it's a couple large payoffs there early on in the quarter which led to that accelerated number. So you're looking at kind of $4 million to $4.5 million number. Obviously, comes down a little bit over time. But so does CDI.
Stephen Scouten: Yep. Perfect. Okay. Very helpful. Great. And then kind of thinking about, mortgages for a second. I know it's been a few years since we've really talked much about mortgage now. But I'm just wondering, if we get more rate cuts and if we see a real pickup in mortgage, what's the kind of potential of that unit today? I mean, obviously, there's a lot of verticals that you kind of have wound down through the year. So I'm just kind of wondering what's the upside potential of that mortgage division today in the way that it's scaled now?
Michael M. Mettee: Yes. Steven, as you mentioned, we're in the retail business and mortgage now versus we won't relive too much of the history. But so it is a little bit muted but there's opportunity there, right? And so we will originate $1.3 billion this year and that's in a rate environment around high 6s. So if you saw meaningful decrease you could see some refinance activity. We're still running 90% purchase in that retail space. I will tell you even back in pre-call it 2016 to 2019, we were running 85%, 90% in our retail in purchase. They've always been new relationship-focused realtor builder type business. So, we're actually thrive in that space. But there will be refinance opportunities. There is probably pent-up demand in the industry because people haven't been able to move there's opportunity there. You should see some pickup in volume. So there is opportunity. Think margins will continue to be in and around the range they are around two seventy to 300. Yes, I don't see a whole lot of opportunity and kind of gain on sale margins at this point. But you could see some pickup.
Christopher T. Holmes: If I could just make a couple of comments. One of our goals, if you remember, with mortgage, is when it's when we're not in good times for the mortgage business, don't want to lose money. And we've been able to achieve that. And so we're not losing any money. Frankly, we're not making a lot of money, especially if you take servicing out of the equation because we do get some servicing income in that line. And so we think the upside there is some upside and there's downside is the way that we've positioned the business. If we could ever get mortgage loans that started with a five, even if it was $5.99, we think that that helps in terms of origination activity, but I don't know that we're going to see that anytime soon. And so that's how I would view it. There is some upside to it if you get help in mortgage rates and we've tried to really limit the downside and so that's where we are right now.
Stephen Scouten: Great. And then maybe just last thing for me. I mean, I think, used to be across $10 billion you think if you got to like $13 billion in assets, that might be enough to get the right scale. I think we've talked in the past, maybe you felt like you had to get to 17 to 20 more recently. We're kind of there now. Do you think you have the right size to be as profitable as you want to be, have the right scale? Today if these opportunities don't happen to materialize in the near term? Do you really feel like you need more deals to get more scale and be as profitable as you'd like to be?
Christopher T. Holmes: Yeah. We think when you look at our adjusted profitability ratios today, we're getting our ROA is going to be between one and forty and one hundred fifty. Our ROTCE is going to be north of 15 and that's with a 10% plus TCE. Ratio. And so those numbers start to get to where we think numbers need to be to again as I said, give your shareholders an advantage for the types of investment that a bank is. And so we think that's good and sustainable where we are. We did we've said roughly 17,000,000 is 16,000,017 million $18,000,000 in assets where we thought we achieved that. That doesn't mean that it won't get incrementally better. As a matter of we think it would get incrementally better with the size but we think those returns are actually pretty good for Mid South Bank investments and we hope to scale it and improve it from there. So I hope that answers your question. I mean, we do think that in my comments, I made that, hey, it's getting now to where it's an acceptable return. And as we scale in size anything we look at is just going to move it positive from there. More positive.
Stephen Scouten: Yes. No, for sure. No, hits the nail on the head with my question. So appreciate it, Chris. Thanks for the time you guys. Have a great day.
Christopher T. Holmes: Thanks, Steven.
Operator: The next question comes from Steve Moss with Raymond James. Please go ahead.
Steve Moss: Good morning. Good morning, Chris. Is Mike. Just kind of curious here in terms of your thoughts on capital targets here. You bought back some stock this quarter. And even with the deal here, you're still in a very strong capital position. I know you redeemed some sub-debt. Just kind of curious are you thinking of running capital down a bit? With organic growth, continue with repurchases? Just thought process over the next twelve months and a more favorable regulatory environment?
Michael M. Mettee: Yes, Steve. Good morning. It's Michael. Yeah, we've been running, as you mentioned, kind of higher capital levels and Chris mentioned it in his comments about credit capital and liquidity. It's always a focus. We obviously take it very seriously our commitment to the markets we're in and our customers. So, I think organic opportunities, we'd love to see organic growth in a situation where that capital level would. Come down and then some instances even after to grow through it. And get additional sources of capital. So we'd love for that organic opportunity to happen. We do think about Chris talked about organic, inorganic. We're thinking about all those things. So it's important for us to maintain kind of elevated capital levels at this time or really strong capital levels so that we can take advantage of any opportunities that come our way. So short shorter to mid-term, I think you see these same levels. We would obviously deploy it as opportunities arise and then, you know, with been adding capital back to the bucket pretty quickly and we would do that and get ready for the next opportunity.
Christopher T. Holmes: Yeah. Steve, I would also just add a couple of things. We are now going to be building capital quickly. So we'll see the numbers continue to move up. Our tangible number at 10.1% is probably it's still a little high but we're not concerned with that. If it were anywhere even 9% to 10%, we wouldn't be concerned with that. And we'd be willing to run there. Although we've come to take the position over the last two or three years that we think hires better. We want to earn a good we want to earn a good return on higher capital. When I was talking about our return on capital, I made reference to the TD being 10% plus. We're comfortable running at that level. Our CET1 we're at 11.7. If you do get ready to do a transaction, then that's going to get looked at pretty heavily. And you're going to want to have north of 10. So we want to make sure we're staying comfortably above that so that we could act quickly. We're not crazy about the idea of having to raise capital on a transaction. The one area that I'd love to have to raise capital is for our organic growth to be so high over the next couple of years that we had to raise capital. That would be good for all of us. I don't know if we would actually make that happen, but that's my dream. Is for us to have to raise capital because our organic growth is so high.
Steve Moss: Right. No, definitely appreciate all that color there. And then just in terms of following up on interest rates and positioning here, just Michael, from your comments, it sounds like you're a little more asset sensitive than neutral. Just curious, where are variable rate securities and variable rate loans as a percentage of those respective buckets?
Michael M. Mettee: Yeah. We are a little asset sensitive. I missed the back half of your question on variable rates and securities.
Steve Moss: Variable rate. What percentage of your loans are variable and what percentage of your securities are variable these?
Michael M. Mettee: Got it. Yeah. Yeah. So variable rate loans, it's still in that roughly 45% range and securities variable rate securities are in that 30% to 35% range. So that's and our cash numbers come down a little bit. On a percentage basis. So that takes out a little bit of the asset sensitivity. So it'd be important for us as rates do go down that we reprice our deposits lower. We do have a large amount indexed to Fed funds effective rate. And then we're kind of as we've combined balance sheets, there's more fixed money market rates on the acquired deposits. And so, yeah, think you got to be very diligent in having a value proposition for your customers and a fair price. So, the securities piece being 30% to 35%, yes, that's actually worked out really well over the last couple of years as we've kind of transitioned with a focus on liquidity. So you can kind of move in and out of that portfolio as needed. And it's actually provided a higher margin than going into fixed rate securities over the last couple of years and we still see that. But obviously, it increases your asset sensitivity on the way down.
Steve Moss: Right. Well, are all my questions. Really appreciate the color and nice quarter guys.
Christopher T. Holmes: Thanks, Steve.
Operator: The next question comes from Christopher Marinac with Janney Montgomery Scott. Please go ahead.
Christopher William Marinac: Hey, thanks. Good morning. Chris and Michael, just wanted to drill back on kind of the core loan yield. It looks like it's a little bit north of six fifty. And I'm just curious kind of on an organic basis, how much pressure you have from that from pricing? Or do you think you can manage through that as you've given us the margin guide here in the near term?
Michael M. Mettee: Yes. Good morning, Chris. Yes, the six fifty North, obviously, if you looked at that combined, it's the SSBK was running like six seventy seven on their portfolio prior to the combination. So that certainly benefited the overall yield. New production is still coming on high 6s, low 7s. So that's been steady even obviously the rate cut was late in the quarter, but even the last couple of weeks we've seen rates still in that range. We still have some repricing to go although it's tailing down all the loans made in 2020 and 2021. We typically stay three to five years on a bunch of our commercial paper. And so, you'll still see a little bit of repricing tailwinds, but it's getting smaller and smaller. So, we're pretty confident that we can maintain this loan yield.
Christopher William Marinac: Great. Thanks for that. And then I guess just from a general standpoint, as you think about external market expansion, is there kind of a size limit that you want to stick within or maybe a dilution kind of boundary on the upper side of how much you'll accept there?
Christopher T. Holmes: So our target size would really be, let's say, in total, I think if it's a bank, it'd be $3 billion in assets to about say $6.5 billion to $7 billion in assets would be meaningful. And so that'd be a target range. Frankly, there's not a lot of those in existence. And so we're more likely to get opportunities that are a little smaller than that. Is kind of we think about it.
Christopher William Marinac: Great. Thank you all for taking our questions this morning.
Christopher T. Holmes: Thank you, Chris.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Chris Holmes for any closing remarks.
Christopher T. Holmes: All right. Thank you all. Thanks, everybody, for being with us. Always appreciate your interest. And don't hesitate to reach out to us directly if we can answer any questions.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.